Operator: Welcome to the Aflac's Third Quarter Earnings Conference Call. Please be advised today's conference is being recorded. I would now like to turn the call over to Ms. Robin Wilkey, Senior Vice President of Aflac Investor and Rating Agency Relations. Ma'am, you may begin.
Robin Y. Wilkey - Senior Vice President-Investor and Rating Agency Relations: Good morning and welcome to our third quarter call. Joining me this morning in the U.S. is Dan Amos, our Chairman and CEO; Kriss Cloninger, President of Aflac Inc.; Fred Crawford, Executive Vice President and CFO of Aflac Incorporated; Teresa White, President of Aflac U.S. and Eric Kirsch, Executive Vice President and Global Chief Investment Officer. Also from Tokyo joining us is Paul Amos, President of Aflac; Hiroshi Yamauchi, President and COO of Aflac Japan. Now before we start, let me remind you that some of the statements in this teleconference are forward-looking within the meaning of the federal securities laws. Although we believe these statements are reasonable, we can give no assurance that they will prove to be accurate because they are prospective in nature. Actual results could differ martially from those we discuss today. We encourage you to look at our quarterly release for some of the various risk factors that can materially impact our results. Now, I'll turn the program over to Dan, who will begin with some comments about the quarter, as well as our operations in both the U.S. and Japan. Following Dan's comments, Fred will follow up with some brief comments about our financial performance for the quarter. Dan?
Daniel P. Amos - Chairman & Chief Executive Officer: Yeah. Thank you, Robin, and good morning. And thank you for joining us. Let me begin with an update of Aflac Japan, our largest earnings contributor. I'm extremely pleased that sales of the third sector products were up an astonishing 34.5% for the third quarter and 27.1% year-to-date. Aflac Japan generated strong sales results from all of our sales channels, which confirms that we focused on the right facets of our business. We also continue to work closely with Japan Post to enhance our partnership as demonstrated by the recently announced initiative to foster enhanced communications with the growing elderly population in Japan. Our goal is to have a presence where consumers want to make their insurance purchase decisions and our quarterly and year-to-date results reflect our success in broadening our reach and our sales opportunities. I want to remind you that Aflac Japan's 2014 fourth quarter sales of third sector products were up 28.5%, thus making this year's fourth quarter a tough comparison. However given the very strong sales results in the first nine months and our expectations for the remainder of the year, we are upwardly revising our sales growth target for the third sector products from the range of 7% to 10% to 10% to 13% for the full year. Now, let me turn to the U.S. operations. From a financial perspective, Aflac U.S. also performed very well in the quarter. Additionally we have continued to receive phenomenal feedback from our distribution channels, our policyholders, and accounts on One Day Pay, our industry leading claims initiative. One Day Pay allows us to process, approve and pay eligible claims in just one day. In particular, we're hearing from policyholders and consumers that our commitment to paying claims fast through One Day Pay underscores Aflac's integrity and commitment delivering on our promise. Thus enhancing our brand reputation and ultimately opening even more doors for Aflac. We continue to estimate that 70% of our policyholders can use One Day Pay for their claims. In 2015 we expect the number of claims processed within the One Day Pay will reach over 2 million people. Along with the strong brand and relevant products, I believe One Day Pay will continue to drive home the value of Aflac's products and most importantly, it will help our sales long term. Although our U.S. segments generated a slight increase in sales, I believe 2015 has been a year of building our business through our career and broker channels. Taking into account our results for the first nine months and our expectations for sales for the quarter, we anticipate Aflac U.S. will generate sales growth at the lower end of the 3% to 7% range for the year. While it's been a year of building, I am not satisfied with these results. In fact, I won't be satisfied until we see our sales growth more in the range of the mid-single digits, which I believe is reasonable and achievable. It is very difficult for us to make sales projections for the quarter or even for the year because around half of our sales will come in the last five weeks of the year. But I can tell you that the changes we've made to our management infrastructure over the last year are laying the groundwork for better, long-term sales prospects. And we continue to invest in our platform to position us for growth. As we look to 2016, I think the groundwork we laid in 2015 has put us in a better position for 2016. Shortly, Fred will comment on the financial and capital deployment, but let me just say that I am pleased with the actions by the board of directors to increase the quarterly cash dividend by 5.1%. This marks the 33rd consecutive year of increasing cash dividend. Our objective is to grow the dividend at a rate generally in line with the increase in the operating earnings per diluted share before the impact of foreign currency translation. Let me leave you with this thought; you've already heard me say that my job is to balance the interest of all stakeholders. I think we did a good job of that this year just as we have in the past. And I believe that we're going to do it again next year by delivering on our promise to our policyholders and returning significant capital to our owners. Now, I'll turn it over to Fred. Fred?
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Thank you, Dan. You've all had a chance to review our earnings release. I'll focus my brief comments on a few earnings items worthy of note in the quarter, adding color on key earnings drivers, capital conditions and deployment as we enter the fourth quarter. Our third quarter results came in at the high end of our earnings guidance. Along with solid overall results, there are two earnings items that contributed to our better-than-expected performance. The first item was in Japan where we continue to see overall favorable claims trends. While we review our IBNR every quarter, we take a more comprehensive annual look at trends and claims studies in the third and fourth quarter. Reflecting on our favorable claims experience this year and as a result of this review, we concluded it was appropriate to reduce the IBNR reserves for our cancer insurance block of business by approximately ¥4.2 billion or roughly $35 million before taxes. We have not completed our yearend actuarial reviews, but at this point we do not see or anticipate any material fourth quarter adjustments. The second driver was in our U.S. business where we have been steadily improving our customer billing and collection procedures. These improvements have resulted in better collection experience and allowed us to refine our uncollected premium allowance estimate. The catch-up portion of this adjustment helped improve our rate of earned premium growth in the quarter and contributed approximately $8 million to pre-tax earnings. While these items contributed approximately $0.06 to $0.07 per share to the quarter's results, overall our Japan and U.S. operations enjoyed solid margins with adjusted benefit ratios favorable to our expectations and as compared with last year's quarter. As we expected, expense ratios were modestly elevated as we continue to invest in our platforms to generate growth, namely IT and new product introduction in Japan and our distribution model in the U.S. Turning to investments, while we have been successful in defending net investment income, the overall low-rate environment remains a clear headwind and shows no signs of abating. We have natural maturities and higher coupon investments that are running off with proceeds reinvested at lower yields. We continue our efforts to build a position in diversified asset classes, helping to support higher returns compared to low yields in Japan and the U.S. We took a larger-than-normal impairment in the quarter involving our investment in Navient Corp. Navient is a publicly traded student loan administrator formerly part of Sallie Mae. While we don't believe there are any near-term risk of default, the majority of these holdings are long-dated and yen denominated with poor liquidity. As a result these holdings trade at a deep discount. At roughly $0.50 on the dollar we felt it prudent to take impairment. Note that the majority of these securities are held in our Japan portfolio and are rated below investment grade. As a result any decline in value has been reflected for Japan SMR purposes for several quarters. The impairment has no material impact on our overall capital position and deployment plans. Turning to capital, we expect SMR and RBC ratios to remain strong. Between dividends and repurchase, we returned just over $400 million to our shareholders in the quarter and expect to fulfill our guidance of $1.3 billion in repurchases for the year. Our dividend increase is in line with our expectation for full year 2015 operating earnings per share growth, excluding the impact of currency. I would note that despite continuing weakness in the yen, our excess capital position and stable view of capital generation supports the increase. Before I turn the call back over to Rob and for Q&A, I'd like to comment on our earnings guidance. Our fourth quarter guidance simply solves for our full year 2015 EPS guidance range of $5.96 a share to $6.16 a share given our year-to-date results. As we look to the fourth quarter and proceed through our financial planning process, we see the following dynamics influencing our performance. Recognizing the effect of our past reinsurance transactions in Japan, we see earned premium in Japan and the U.S. increasing in the low single-digit range with stable persistency. We see core Japan and U.S. benefit ratios holding strong around current levels after normalizing for the Japan IBNR reduction in the quarter. The maturity of high yielding investments reinvested at lower new money rates will continue to pressure net investment income, although modestly offset by a strategic asset allocation and recognizing a bias towards higher quality. The growth we are experiencing in Japan required disciplined investment in customer care, product, and distribution expansion. We see the same dynamic evolving in the U.S. in order to drive more robust growth rates. Our strong capital position and deployment efforts will continue to provide support for EPS growth. Our capital generation is strong and we continue to explore the potential to release additional excess capital. Absent attractive alternatives, we expect to drive long-term value in repurchasing our stock. These dynamics are generally consistent with our performance in 2015. We look forward to providing more details on our December third outlook call. Thank you, and I'll now turn the call back to Robin to begin Q&A.
Robin Y. Wilkey - Senior Vice President-Investor and Rating Agency Relations: Thank you, Fred. Now we're ready to take your questions. But first let me remind you that to be fair to everybody, please limit yourself to one initial question and only one follow up that relates to that initial question. All right, we're now ready to take the first question please.
Operator: Our first question comes from Jimmy Bhullar from JPMorgan. Your line is now open.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Hi. Good morning. First, I just had a question on your relationship with the Japan Post and how do you think it will be affected by the IPO like, do you expect them to be a little bit more proactive in selling Aflac's policies? And what's the risk that down the road as the Post looks to maximize its profits that they could try to get more commissions out of the companies that they sell products for, or maybe do away with exclusive distribution relationships. So just if you could address how the relationship with the Post could change post the IPO.
Daniel P. Amos - Chairman & Chief Executive Officer: Paul?
Paul S. Amos II - President, Global Operations: This is Paul. First of all, we see our overall relationship with Japan Post continuing to be very strong. I'll ask Yamauchi-san to weigh in on the recent announcement of the two different points that are very different between the United States and Japan of that partnership. But overall, I do believe that our partnership through the IPO is something that has been very consistent. They are very proud of the work that has happened in the partnership between Aflac and Japan Post and we have no reason to believe that there will be any pressuring on margins or change in commissions. I think at this point, we are focused highly on continuing to grow the distribution through the now fully expanded 20,000 post offices and we continue to focus on executing through the new cancer plan that both – was specifically developed for Japan Post as well as the regular product that they're also selling.
Hiroshi Yamauchi - President & Chief Operating Officer, Aflac Japan Co., Ltd.: Thank you, Paul. Well, let me add a few comments in Japanese. [Foreign Language] (15:00-15:10). Well, in terms of the business alliance of JP that he just referred to, this may be something very specific to Japan. As you know, Japan is an aging society. [Foreign Language] (15:20-15:22). And the families are becoming more nuclearized. [Foreign Language] (15:25-15:37). So what the FSA or the society overall is really demanding for an insurance company is that we really need to check up on whether the policyholders, these older policyholders are still alive or not. [Foreign Language] (15:51-16:04). And since, as you know, Japan Post has its mail delivery network across Japan, what we like to do is to use their network to check up on our policyholders. [Foreign Language] (16:15-16:30). And if we try to do everything on our own within Aflac, it is going to require a lot of work. However with the cooperation with JP, we will be able to achieve the same purpose in a relatively easier manner. [Foreign Language] (16:44-16:52). And one other point, this is probably more specific to Japan as well, is that any notice that needs to be sent from an insurance company to policyholder has to be done by mail. [Foreign Language] (17:03-17:12). However, when the policyholder changes their addresses, we will not know the new address until our policyholders tells us so. [Foreign Language] (17:22-17:38). So in overall it will lead to increasing the services to our customers because the JP, the post offices will know that our customers' address has changed because they are delivering the postal mails to them and that will make it easier for us to know where the policyholders are. [Foreign Language] (17: 56-18:11). We do believe this is a great alliance because we are using the strength and what the JP does best in their way and we are making leverage out of what JP is doing and that will also benefit us and serve our policyholders as well. That is it from me.
Daniel P. Amos - Chairman & Chief Executive Officer: Let me say, Jimmy, you can tell Yamauchi is very encouraged about this new announcement with the elderly, but the answer to your question is just simply, it's going as well or better than we expected and we see nothing but good things ahead in the future.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Yeah. And they've been through their IPO process. I think they have been talking up the potential opportunity to sell more products for companies such as yours. I was just concerned about the long-term risk if they try to, given their distribution breadth, maybe go after the underwriters and ask them for more commissions or try to open up the distribution to additional underwriters. But I guess we'll see how that evolves over time.
Daniel P. Amos - Chairman & Chief Executive Officer: Well, at this particular point, we are very happy with the arrangements and they are too.
Jamminder Singh Bhullar - JPMorgan Securities LLC: And maybe if I could ask just one more. On U.S. sales, given your results, I was a little surprised that you didn't actually end up lowering your guidance. So to what extent do you see that goal as achievable for this year versus it being somewhat of a stretch?
Teresa L. White - President, Aflac U.S.: This is Teresa. From a U.S. perspective, we have a lot of moving parts going on. As Dan said in his talk, we are rebuilding that distribution and restructuring. We feel good about some things that we are seeing. We have looked at all of the markets. We're assessing market book of business, how they're managing those markets, training programs, recruiting practices and we're driving consistency and collaboration across the broker and career channels. So we feel good about what we're doing. It's taken a little bit longer for us to get there, longer obviously than we would like. But we are seeing more markets that are achieving the 5% increase in year-over-year sales. There's been a tremendous amount of change in the way our business is coming in. And I think Dan spoke a little bit about that. We know that we're going to get a tremendous amount of business in the fourth quarter and I think we've been saying that from the beginning. So we're reviewing a lot of our modeling to project that. So we feel pretty good about the low end of the range and we see a lot of activities within the markets that look positive to us at this point.
Daniel P. Amos - Chairman & Chief Executive Officer: Yeah, Jimmy, we've got to have an 8% increase in the fourth quarter. The real change here is the way this broker business comes in, it all now comes in, in the fourth quarter. And it makes me nervous and Teresa and everybody else nervous, will it come through. And we've got a pipeline that we know what's out there and we know there's more business out in the pipeline this year than in previous years, because this really started a year ago as you saw we were up 14% in the fourth quarter of last year. So we're not sure how good that pipeline is, but our gut tells us that it should be and that we're expecting a good fourth quarter, but we'll have to monitor it and see. And as I said in the call, the last five weeks of the fourth quarter will bring in as much business, or close to as much as – probably 45/55 as it did in the first eight weeks. So we won't know till the end of the quarter. But we do like what we're seeing in the pipeline from a broker perspective and what will take place. And then also, our 100 or less that we're writing in our Columbus, in career, is really working well and Teresa is doing a good job in that area and I'm very pleased with that.
Jamminder Singh Bhullar - JPMorgan Securities LLC: Okay. Thank you.
Operator: Thank you, speaker. Our next question is from Jay Gelb from Barclays. Your line is now open.
Jay H. Gelb - Barclays Capital, Inc.: Thanks very much. With regard to the Japan margin, I believe it was mentioned that we should expect the margin to stay mostly unchanged and excluding the benefit that we saw in 3Q from the reserve release. Can you walk us through that a bit more?
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Thanks Jay. This is Fred. So where my comments were coming from, first, the adjustment in the quarter, let's make sure we understand that. So this was an adjustment to IBNR reserves related to our cancer business in Japan. And more specifically it was related to a subset of our IBNR that relates to what we characterize as tail related claims. So these would be longer duration claims or estimate of claims emerging typically longer than three years out. It's a relatively small portion of the total IBNR that we hold for cancer, but it's one that periodically, as in at least once a year, we do a more thorough examination of and test based on the trends we've been seeing in recent years. And so as you can see, our trends have been very good on the overall claims front. And so when we put these reserves, these particular tail reserves under review, we comfortably determine that there was margin in those reserves and we should take them down. So that's the ¥4.2 billion reduction that I referenced. And then I'm asking you to pull out, if you will, to think about the benefit ratios going forward. So my comments on the stability of benefit ratios is to first recognize that we have multiple businesses as you know in Japan, that have different benefit ratios and different benefit ratio and claims trends. But overall, when we pile them altogether and look at the overall Japan benefit ratio dynamic, we expect stability, but stability in third sector, particularly as you pull out that IBNR on the cancer side.
Jay H. Gelb - Barclays Capital, Inc.: I appreciate that. The fourth quarter guidance seemed to show roughly the same trend as those in 3Q from an earnings power basis, even including that $0.06 to $0.07 you called out. Do you expect any one-timers in 4Q? Or is the run rate of earnings power just getting better as we continue through the year?
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Yes, I think, first of all, we have a relatively wide margin, EPS margin, for the fourth quarter, and that's really the result of two things: one somewhat solving for the full year guidance range, which creates a larger fourth quarter range. The second is, of course, we have a range naturally based on our assumption for what the yen may do. We think in terms of the range being dictated by yen between ¥120 and ¥125. So that creates a wider range. But part of the reason we wanted to walk you through a couple of the normalizing items in the quarter was so that you could really roll forward our results in a fairly consistent way. So, at the moment, our expectation is for stability in the key earnings drivers as we roll forward, and we would leave it at that. At this point in time, I don't know enough to know what I would characterize as one-timers. The only comment I made is that we do do more thorough actuarial reviews in the third and fourth quarter, and as we sit here today we don't see any material adjustments coming from those reviews, but it's still early in the process.
Jay H. Gelb - Barclays Capital, Inc.: Okay. So the fourth quarter guidance range, obviously, it's reflective of the range in the yen, like you've talked about before, but it's essentially solving for the full year guidance range.
Frederick John Crawford - Chief Financial Officer & Executive Vice President: That's right. That's right.
Jay H. Gelb - Barclays Capital, Inc.: ...which hasn't changed. I got the sense that it had pointed higher, but I guess I was wrong on that. All right, thank you.
Robin Y. Wilkey - Senior Vice President-Investor and Rating Agency Relations: Jay, you need to look at last fourth quarter, too, and that will give you some sense of really where it's going.
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Well, just to make a comment. So year-to-date we have grown – holding constant the yen, we've grown our operating earnings per share by about 2.9%. We've got guidance out there, full year guidance of 4% to 7%. Realize the fourth quarter last year, though, was a somewhat reduced earnings per share by virtue of accelerated expenses or accelerated spend. So it had a disproportionate weighing down on that EPS. So, again, my view is, as we sit here today, my comments were rolling forward and really consistency and stability in the earnings drivers as we sit here today and roll forward into the fourth quarter, and I don't see, at the moment, don't see any sharp moves, but again, it's very early in the quarter and I'm really talking specifically to the actuarial work, not so much other items that may appear naturally in a quarter.
Jay H. Gelb - Barclays Capital, Inc.: Thank you.
Operator: Thank you, speakers. Our next question is from Nigel Dally from Morgan Stanley. Your line is now open.
Nigel P. Dally - Morgan Stanley & Co. LLC: Great, thanks and good morning. With Japan sales, the strength in third sector was certainly very encouraging, but the growth in first sector was perhaps a little surprising. Back at Investor Day you talked about those being down 25% to 40% and how you had very limited appetite for those products, given the very low-rate environment. But still seems like you're writing a fair amount of it. Sales this quarter were up 6%. So just hoping you can discuss what's going on there.
Frederick John Crawford - Chief Financial Officer & Executive Vice President: You know...
Paul S. Amos II - President, Global Operations: Let me...
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Go ahead, Paul.
Paul S. Amos II - President, Global Operations: Go ahead, Fred.
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Well, I'll just make a couple comments and then Paul can provide more of the strategic color on it. But, first, we monitor the sale of these products, first sector products very carefully, because the returns on those products can be very sensitive to the interest rate environment, as you point out, but also your investment strategy backing these products. And so even though the interest rate environment is very low, it's always possible that our investment strategies, and you've seen recently that, particularly in the third quarter, we've been able to descend our new money rates and put money to work at relatively attractive levels, albeit headwinds are definitely in the marketplace. And so they're very sensitive to that type of investment strategy. But more importantly, we've really made moves to really focus the type of product that we're selling to deemphasize lump-sum premium, or so called dump-in premium-type product and also product that is sold particularly in the bank channel where it's more of a spread-sheeted environment and a competitive landscape. Those things coupled with the interest rate and investment market could make for volatile returns or challenging returns, and so we want to deemphasize that. Where we're emphasizing is the longer pay products, which gives us more possibility of putting money to work at attractive levels. It also tends to attract more of a protection orientation versus investment orientation. And most importantly, it's being driven through the traditional channels, which support cross-sale activity. And again recognizing once you're into cross-sale activity, you're trying to look at the overall blended return on a household, which includes the returns on these products plus third sector products. So we're monitoring it very carefully. You're absolutely right, there was a rise in our sales, but it's largely coming through the traditional channel, largely coming through longer pay premium products and involving cross-sale. So, Paul, you can maybe expand or add?
Paul S. Amos II - President, Global Operations: You nailed it.
Nigel P. Dally - Morgan Stanley & Co. LLC: Okay. That's great.
Frederick John Crawford - Chief Financial Officer & Executive Vice President: That's one reason our cancer sales are up so much in the traditional channel, too. It's not limited to just the Post. We've also seen a big movement in our traditional channel in terms of sales. So they're tied together.
Nigel P. Dally - Morgan Stanley & Co. LLC: Great. Thank you.
Operator: Thank you, speakers. Our next question is from Erik Bass from Citigroup. Your line is now open.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Thank you. Can you comment on how sales of the new medical product in Japan have compared to your expectations? I think typically we've seen with the new product introductions, there tends to be a little bit bigger jump in sales. So if you could just comment on how this feature has been received and how you would expect sales to ramp from here?
Paul S. Amos II - President, Global Operations: This is Paul. The sales do meet our expectations. What we didn't expect, in all likelihood, was the continued success of our cancer plan. But Ariyoshi-san, who is the head of sales and marketing in Japan, directed our sales force to continue to push hard on the overall cancer sales, while also focusing, to some extent, on the medical sales. So within our range of expectations, we are happy with how it turned out. We do believe the medical product will continue to grow in its sales. But right now we're very happy with how long the cancer product has continued to sell at such strong increases.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Thanks. And then following up on your comments earlier about moving the sales guidance up for Japan third sector sales. Was that driven more by the strength that you've seen in year-to-date sales or are you now expecting fourth quarter sales to be stronger, hold up better than you had initially expected?
Paul S. Amos II - President, Global Operations: Well, I think we put out a 15% expectation for the first three quarters of the year, and we came in considerable higher than that, almost double that. And so it is in part driven by the success in the first half of the year and the 34.5% sales that we had in the third quarter. That said, we are also seeing somewhat better trends in the fourth quarter. We're mindful of where those are going so far, but we're happy and I think that the 10% to 13% is reflective of improvement on both.
Daniel P. Amos - Chairman & Chief Executive Officer: You know, I can't remember. I've been around here a long time. I can't remember 12 months of a 28% increase in sales in Japan in a long, long time. And that's what we've got from October 1 through September 30 here. So we're just so proud of the job they're doing at Aflac Japan with that.
Erik J. Bass - Citigroup Global Markets, Inc. (Broker): Great. Thank you.
Operator: Thank you, speakers. Our next question is from Ryan Krueger from KBW. Your line is now open.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Hi, thanks. Good morning. I know you can't give any specific numbers on this, but in regards to the Japan Post, have you seen much of a sales contribution from the second 10,000 post offices at this point that were rolled out in July, or is that really all future benefit to come going forward?
Paul S. Amos II - President, Global Operations: This is Paul. I very much appreciate what you're trying to get at, but just based on our partnership deal, we do not continue to give out those numbers. We did communicate to you at the FAB, Dan specifically talked about the fact that the first 10,000 post offices represented a much larger proportion of the potential sales than did the second 10,000 post offices. But what I can just tell you is right now we're very much in line with what we want to see in the Japan Post partnership and we're very happy with how things are progressing.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Understood. And then on the U.S. can you give some more color on the U.S. claim trends? I think generally they've been running somewhat favorably. But Fred, you commented that you believe that margins can be sustained there. Can you just comment a little on the underlying drivers there?
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Yes. Essentially there's really nothing notable to speak to in the U.S. claims patterns. And I say that not to avoid the answer to the question, but we're just seeing decent stability there in claims. And overall, while there are pockets of up and down and pockets of persistency up and down, persistency has also been on overall hanging in there pretty well. So as has been the case at Aflac for many years, it's been a relatively stable platform from that perspective, benefit ratio and earnings drivers. It's been gradually favorable in recent years, but we see it as being a relatively stable outlook and nothing really notable in the patterns.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Okay, great. Thanks a lot.
Frederick John Crawford - Chief Financial Officer & Executive Vice President: One thing I would comment on, Ryan, just in this quarter to be mindful of from a math perspective, as I mentioned the premium collection – reduction in the allowance for uncollectable premium. Obviously realize that that pumps up the numerator, if you will. And so that helps benefit the – optically it benefits both your benefit ratio and your expense ratio because your premium is pumped up a little bit when you make that adjustment. So be mindful of that this quarter. There is actually a really, really slight amount of normalization that you'd want to do on benefit ratios, but it's actually not related to claims. It's related to just premium being up a little bit.
Ryan Krueger - Keefe, Bruyette & Woods, Inc.: Got it. Okay. Thanks, Fred.
Operator: Thank you, speakers. Next question is from Humphrey Lee from Dowling & Partners. Your line is now open.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Good morning. Just want to follow up on the Japan sales outlook. So the third sector sales in your outlook is 10% to 13% sales growth. That, based on my math, that would imply the fourth quarter third sector sales would be somewhere between ¥19 billion to ¥21 billion. And I know you talked about the tough year-over-year comparison, but at the same time based on Paul's comment earlier, medical sales expect to grow further in the fourth quarter. So to me that suggests the cancer sales would be kind of more like a ¥10 billion to ¥12 billion range in the fourth quarter. That would be a decline from the third quarter level. Maybe a little bit comments on if my interpretation is correct, and maybe if you could elaborate a little bit more detail for the 10% to 13% expectation on a more broader level?
Paul S. Amos II - President, Global Operations: As Dan said, the large fourth quarter we had last year was representative of the very strong launch to our new cancer plan. And so the previous three quarters this year have been going up against no cancer plan to previous year, and so we'll be going up again for the first time that strong cancer sales in the fourth quarter of last year. And so I think it is reflective of what we expect to be a progressive increase of the medical plan, while at the same time having to go up against the very strong numbers from the launch of the cancer plan in 2014.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Okay. But still if we were to assume the medical sales were to stay flat that would imply cancer sales would decline sequentially. Any reason why that would be the case or there could be potentially upside to your sales guidance?
Daniel P. Amos - Chairman & Chief Executive Officer: I think...
Paul S. Amos II - President, Global Operations: My only comment...
Daniel P. Amos - Chairman & Chief Executive Officer: Go ahead, Paul.
Paul S. Amos II - President, Global Operations: Go ahead, Dan.
Daniel P. Amos - Chairman & Chief Executive Officer: I was just going to say, we're just looking at overall that we've just finished 12 months with a 28% increase. And I think to try to break it down into 13 weeks is just getting too much into the minutia of how we see it. Overall, let me just say that we're extremely pleased with what's going on, and we will be excited if we finish in the 10% to 13% range, which we totally expect to do. And so how it breaks out by product? Remember, the profitability are close to the same, so we don't care how the agents write it. So we don't look to say, oh, please don't sell cancer, please sell medical. Or please sell cancer, don't sell medical, one or the other. It doesn't matter to us. So we don't break it out that way in terms of looking at it. Now we do look at life insurance where we've been on it, watching it, staying very close. But on cancer and medical, we really don't care how it comes in.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: I guess my question is more kind of like, with the Japan Post continuing to be performing, that is a little bit surprising to see cancer sales may potentially trend down. But I guess we will just have to wait for the fourth quarter to see what the results are. Shifting gear to maybe on WAYS, I understand you talked about kind of using it to entice the traditional channel to do more cross-sell and you can closely monitor from an interest rate perspective. Is there kind of a rule of thumbs in terms of thinking where the 10-year JGB will move to – prompt you to dial back or even go or have stronger appetites for the WAYS sales?
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Humphrey, it's not that simple. Certainly, as you watch JGBs grind down, that doesn't make the job any easier in terms of generating yield, but realize we've got a portfolio approach to backing these products, which includes among other things the dollar program, Eric's strategic asset allocation, and so we take somewhat of a blended strategic asset allocation portfolio yield approach, if you will, to the expected investment horizon. So, for example, recently we've seen treasuries and JGBs go down but spreads widen out to where new money could be put to work actually at even net more attractive levels as long as you're being careful in where you go with the money. So it's not quite as simple as pegging to a JGB. But certainly as you see JGB going down, you've got to keep in mind two things: one, obviously, more of a challenge to reinvest that money, but the other is you're having to gradually move towards lower assumptions for ongoing interest rates as it relates to pricing of the product, and so you end up having a gradually less competitive product in the marketplace. This is really an industry thing, not an Aflac issue. And so do you reach a point where it's just not as much a value proposition for the client as you'd hope and does the overall market start to get soft? So I think those are some of the dynamics, but it's not a one-for-one tied to JGB. It's not quite that simple, although directionally certainly doesn't help. One other thing I would say on third sector and some of the commentary around Japan Post. Be mindful of the difference between growth rates and just having a much larger engine now as we start January 1 versus January 1 of last year. The fact of the matter is we're just selling a more volume of product. Even though the comparables may be challenging, we have a net larger distribution engine that's driving simply more sales overall. So that growth rate really benefits you as you move forward and look particularly at premium growth rates and your in-force growth rates and the overall economic value that you've driven. So there will continue to be growth in my view in terms of value, even though you may occasionally look at comparable sales periods that don't look as attractive. Particularly when you know the dynamic with this is that it jumped out at a very strong level, which is not unusual when you build up all the advertising and marketing investment to really launch it, and that was the story in the fourth quarter of last year.
Humphrey Hung Fai Lee - Dowling & Partners Securities LLC: Okay. Thank you for the color. Thanks.
Operator: Thank you, speakers. Our next question is from Steven Schwartz from Raymond James & Associates. Your line is now open.
Steven D. Schwartz - Raymond James & Associates, Inc.: Hey. Good morning, everybody. Question for Teresa. This may be a little nebulous, but you and Dan were talking about pipeline. Could you give us a sense of how you measure that if there is some particular metric you're using?
Teresa L. White - President, Aflac U.S.: Certainly. We basically look at the pipeline from the perspective of groups that have agreed to offer Aflac policies. And that pipeline is weighed based on where they are, and so this is mostly the large group. It's mostly the large group segment and it's weighed based on where we are in the process. So there is a piece of the process that looks at commitment to offer the product, and then as you go further down the pipeline, we basically have – have they submitted all of the enrollment materials, have we set them up for enrollment, and so there are varying places in the pipeline up to the enrollment. And what we do is we look at the percent increase year-over-year to assess whether we have the constructive increase in that pipeline and today what we see is a double-digit increase in the pipeline from last year to this year apples-to-apples compare. And group insurance, it's usually group insurance and not individual insurance when we're talking about that.
Steven D. Schwartz - Raymond James & Associates, Inc.: Okay, sure. Teresa, what would stop I guess the process from commitment to offer to actually getting it done?
Teresa L. White - President, Aflac U.S.: Couple of things. It may be that they decide to move the date of enrollments. And so it may migrate down the pipeline, so – not down the pipeline, but they would change the date of the enrollment. So it will move it from one quarter to the next. Couple of other things that may change it are that they decide that they're not going to adjust their benefit packages for that year and they hold with the current benefit offering that they have. Or they decide not to offer any voluntary benefits at all. But we don't think that they will, but we never know.
Steven D. Schwartz - Raymond James & Associates, Inc.: And then one more. I think you answered it in the first question. But assuming you get that kind of 8% number for the fourth quarter, my assumption here is it's going to be driven by plus 100 cases.
Teresa L. White - President, Aflac U.S.: Yeah. Yeah. That's our assumption as well. Although we will have some, the natural sales that we have with our career agents, we do believe that we will skew towards the greater than 100 cases in the fourth quarter.
Daniel P. Amos - Chairman & Chief Executive Officer: It will probably be even greater than 1,000 cases.
Teresa L. White - President, Aflac U.S.: Yeah.
Daniel P. Amos - Chairman & Chief Executive Officer: Really. Now that's always in the fourth quarter. It's not during the year. But the fundamental growth of less than 100, Teresa and her team are doing a great job in stabilizing that and continuing to have that grow, especially through Everwell and the 50 or less. So we are encouraged about that. But it's this fourth quarter that's an anomaly because of the way the group presentations come in, and we specifically work to where each case might have a different product. So it's tailored to them, and that's what causes the issues.
Teresa L. White - President, Aflac U.S.: Right.
Steven D. Schwartz - Raymond James & Associates, Inc.: Okay. All right, thank you guys.
Operator: Thank you, speakers. Our next question is from John Nadel from Piper Jaffray. Your line is now open.
John M. Nadel - Piper Jaffray & Co (Broker): Thank you. Good morning, everybody. Maybe, Fred, I just wanted to follow up on the comment and make sure I understand exactly what you're trying to tell us about the relative stability of the margin in both the U.S. and Japan. I haven't done the math perfectly for the adjustments, the one-timers this quarter. But it seems to me adjusting for that, that Japan margin's 21% or slightly above 21% year-to-date, and the U.S. margin is 18% or slightly above 18% year-to-date. In both cases, that's the upper end of the outlook for 2015 through 2017. So I guess in short, are you telling us that we should expect both operations to maintain margins at or even maybe slightly above the upper end of the guidance range?
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Yeah. First let me just say that my comments were not meant to preempt the December outlook call. And so when we get to December 3, we'll give you a little more context and color around these earnings drivers and margins. But if you were to adjust both the benefit ratios, so adjust the Japan benefit ratio for the IBNR adjustment and adjust the U.S. benefit ratio really just modestly for the premium kick-up related to the premium collection allowance, we're seeing relative stability in those margins. Certainly as we enter into the fourth quarter, as we get into 2016, we don't see things at the moment that would disrupt that. Realize that the mix of business can play a little bit with your benefit ratios. And so we'd want to understand the mix of business in Japan, particularly third sector versus first sector. And we'd want to understand some of the mix of business dynamics in the U.S. a little bit better. But we're not seeing things that suggest to us significant movement in those benefit ratios going forward. So we'll provide a little more color on this in the outlook call. I would also note that expense ratios, obviously in the recent year, have been slightly more elevated as we reinvest back in our platforms. I mentioned that in my comment. We also see stability there too, meaning we see a need to continue to reinvest in our platform to support the kind of growth you're seeing in Japan and to position ourselves for better growth in the U.S. So that stability comment I made – yeah, that stability comment I made goes both ways, so.
John M. Nadel - Piper Jaffray & Co (Broker): Yeah, you sort of took my follow-up question which was I think that's what you were hinting at. And just specifically around expenses and investments into the business, I can't remember exactly when it was, but a year or two ago Aflac announced a pretty significant couple of year investment program in Japan that was I think at the time expected to run its course and then tail off. It sounds to me like the message here is that, that elevated level of investment will maintain itself.
Daniel P. Amos - Chairman & Chief Executive Officer: Yes. So, I mean I would say in general, this is the type of topic that we would also give a little bit more color on, on the outlook call. Right now our investment has been oriented around – in the U.S. has been oriented around what you know and that is the investment we've made to reconfigure the sales platform and drive better growth. We're going to have to look at the same sorts of things in the U.S. that we've been successful in achieving in Japan and that is keeping pace with the modernization and digitizing of our platform in the U.S. And those involve incremental investment. We have been making some of those investments along the way. So it doesn't necessarily suggest big deltas in things like expense ratios and so forth because we have been investing. But the pace of that investment is going to have to react to the market opportunity. And that's how we will approach it. When we see there's opportunity to go after that requires a level of investment and argues for our capital, then we'll want to do that for our shareholders. And that's the type of color and we'll give you more context for that when we get to the outlook call.
Frederick John Crawford - Chief Financial Officer & Executive Vice President: But let me just say something about our sales and what we've done there. I don't like sales at the level where they are, but I will say this, our organization is such that people are making less money if we don't achieve our objectives. And that's what it's all about, which means we make a little bit more, but that isn't the idea. We want the sales to be up and pay more. But we have corrected that and it is having an impact that I think ultimately will drive sales higher. But we're making sure that everyone shares in the pain. If we don't achieve our objectives, then they're going to feel it too. And if we do well, they can too.
John M. Nadel - Piper Jaffray & Co (Broker): And then if – and my real quick follow-up is just on the EPS guidance for the year. Should we be holding you against that constant currency growth rate excluding the benefit of $0.06 or $0.07 this quarter that was unusual? Or should that be part of the growth?
Daniel P. Amos - Chairman & Chief Executive Officer: Yeah, I think the range we have out there attempts to accommodate some of these unusual items. But when we talk about carving positives out of our numbers, we typically mean that to carve it out for the purposes of guidance and going forward.
John M. Nadel - Piper Jaffray & Co (Broker): Got it. Okay. Thank you.
Operator: Thank you, speakers. Next question is from Suneet Kamath from UBS. Your line is now open.
Suneet L. Kamath - UBS Securities LLC: Great. Thanks. Good morning. So I just wanted to come back to I think, Fred, your comment about the cross-sell initiative between WAYS and I think cancer in Japan. And I was sort of interested in how you characterized it. I believe you used the term household and where I'm going with this is, is I would have thought that given the sizeable premium differential between WAYS and third-sector products that to neutralize sort of the impact of the margin differential, you'd need to sell more than just one for one. You'd probably need to sell three, four, third sector products to neutralize the lower margin from the first sector. So I just want to – the question I guess is, is am I thinking about that correctly?
Frederick John Crawford - Chief Financial Officer & Executive Vice President: I mean, I think – I'll ask Paul to expand on this, but I think you're thinking about it correctly in the sense of when I say driving households, I mean it from a couple of perspectives. One, the actual consolidated return on what we have provided to that household to your point, but the other is what value you see in that household and that agent relationship going forward as you continue to develop new product to sell to your existing block of business and clients and new clients. The other thing to consider is that you have agents making a living off of the building out of these households and the sale or potential sale of new product. And so it supports the growth of your agency force and stability and even retention and development of your agency force. And these are things that are difficult to put economics behind, but we all know they drive embedded value. So that's where I come from when I use the term household, is the support for the agency, the agency build-out, the ability to cross-sell and what might be the future, present value future sales dynamics related to having developed more households. One of the things we tend to lead within Japan is that we're in one in four households. And when you start the conversation with that, that suggests there to be a lot of opportunity you can develop by simply being in that position. And so it really benefits us.
Paul S. Amos II - President, Global Operations: The other thing I would say is, is when we first started selling WAYS, we just picked up as much business as we could, based – and a lot of people bought it just on the yield and that was it. We've now moved away from that totally, in telling our field force they want an overall arching program that they can offer to a consumer that will cover their life insurance needs, their health insurance needs, and any aspect that they might have. So that's what we're trying to do is to cover them in their entirety. But we are definitely continuing to de-emphasize these type products and we will continue to going forward until we see changes in the interest rate environment going forward.
Suneet L. Kamath - UBS Securities LLC: Got it. And then I guess my second question is, and I don't want to front run your December event, but as we think about 2016 Japan sales, do you guys have plans for any new product launches next year that can help us stimulate sales in what I guess is going to be a pretty difficult comp for most of the quarters in 2015?
Frederick John Crawford - Chief Financial Officer & Executive Vice President: I think we will have to wait until our December call to give you an update on that type stuff. We want something to be able to talk about in December, so don't take it all away from us.
Suneet L. Kamath - UBS Securities LLC: Okay. That's fine. Thanks.
Frederick John Crawford - Chief Financial Officer & Executive Vice President: Thank you.
Robin Y. Wilkey - Senior Vice President-Investor and Rating Agency Relations: I think we have time for one remaining call.
Operator: All right. Thank you, speakers. Our last question is from Mr. Tom Gallagher from Credit Suisse. Your line is now open, sir.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Good morning. The question I had is when I look at, and Paul, you had mentioned that cancer sales through the non-Japan Post, your traditional distribution system have continued to remain robust. It sounds like better than you would have expected and in medical, the ramp up of the new medical product has been more slow. Do you expect that trend to continue or do you think we're going to see a bigger shift into medical? And, I guess, Fred can you remind us how the margins stack up in terms of the cancer product versus medical?
Paul S. Amos II - President, Global Operations: I'll start, this is Paul. To your question, we have continued to see the overall cancer sales be stronger than we originally anticipated. That is even pushing through into this quarter. Therefore, we have not put as strong an emphasis on selling the medical plan at this time and selling its new riders. So do I expect the medical plan to be strong and to grow over time? I expect it to grow over time but to have a slower launch than we might have expected, when we do a product and the previous product has already run its course. We really want to see this cancer product sell for as long and as well as we can sell it, especially through our traditional channels who are very invigorated by this cancer plan and the ability to speak to not only our existing customers, but to new customers that they've never had access to before.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): And Paul, sorry, just one quick follow up. Is that because the medical space is increasingly more crowded, or is that because you think more of your – is it more of just a focus on one product at a time through much of your distribution?
Paul S. Amos II - President, Global Operations: I do not think it's because of the competitiveness of medical, otherwise we would be pushing that much harder right now. It has much more to do with the excitement around the cancer plan and the continued success that our sales force is having. As you've seen, there is such a strong cross-sell between the cancer plan and the 15-pay ways and longer, that's eating up a lot of the premium that we're selling to those individual customers. But we will be going back to them with the medical plan in the future.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): And then, Fred, on the margins?
Kriss Cloninger III - President: Tom, let me handle that, this is Kriss. The margins on the cancer and medical are approximately the same. And let me also add a comment on Suneet's question about neutralizing the margin on the cross-sell between WAYS and then cancer or medical. It's not meant to be a complete neutralization because of the premium difference that Suneet mentioned, but it does move us in the direction of additional value to shareholders in terms of adding additional business with significant value by having these cross-sells. So I think that would about wrap it up on that question.
Thomas George Gallagher - Credit Suisse Securities (USA) LLC (Broker): Okay. Thanks.
Robin Y. Wilkey - Senior Vice President-Investor and Rating Agency Relations: Okay. Thank you, Kriss. And before we go, I want to share with all of you what's been mentioned before, that on December 3 at 9 a.m., we will have our scheduled earnings outlook call for 2016 to discuss our expectations for 2016. So I hope you'll all join us. We will be sending out a reminder as we always do, but again, that is December 3 at 9 a.m. Eastern Standard Time. And please feel free to call us in investor relations if you have any questions and thank you very much for joining us this morning. Bye-bye.
Operator: Thank you speakers. And that concludes today's conference.